Operator: Ladies and gentlemen, welcome to the Centamin 2020 Results Presentation. My name is Ruby, and I will be your moderator for today's call. [Operator Instructions] I will now hand over to your host, Martin Horgan, CEO, to begin. Martin, please go ahead.
Martin Horgan: Thank you very much, Ruby, and good afternoon, everybody, and welcome to our 2020 results presentation. As mentioned, I'm Martin Horgan, Chief Executive Officer. And I'm joined today by my colleague, Ross Jerrard, who is Chief Financial Officer; and Alexandra Carse, who is Head of Corporate Communication. Ross is going to take you through our 2020 results in some detail, and then I'll update you around some of our new and exciting news regarding our updated mine planning and exploration at Sukari. We'll then finish with a Q&A, and then Ross and I will be happy to take any questions you may have. I’ll go into my first anniversary as a CEO of Centamin, and I honestly say it's been quite a year. I’d say it's been a year of challenges all across many firms. I think it's one that we faced head on and I think with a growing sense of confidence. I think looking back at 2020, it's going to be viewed as a pivotal year for Centamin. I think one that has put us in a much better position for the future. I said at our Capital Markets Day presentation in December, one of the things I was most pleased about when I joined, was the quality of the team here, and I can say they’ve performed incredibly well over 2020. In the face of the unique operating environment, they have delivered what was required and quite a bit more. I'm also pleased with the way the speed at which the new team members have integrated into the company. Selectively as a Group, they have started to make some really positive changes in how we operate the business. In October, we revised guidance due to minor geotechnical issue in the open pit and this was compounded by a lack of mining flexibility. Regarding was a clear disappointment to the market, and obviously growth. Improving operating flexibility is key for us and perhaps to say progress is already being made. We started an accelerated waste-stripping program back at the end of last year, and that was utilizing our own operated fleet. That led to a record amount of dirt being moved, and we recorded the highest total material moved to the mine's history. We've also introduced the mining pit -- open pit contractor to accelerate the waste-stripping, and this will provide better mining flexibility as we invest in Sukari to ensure we’re able to meet our long-term goals, and the same situation applies in the underground. We're seeking to ensure we have more steps available to provide enough mining and operational flexibility. I think it's important to recognize that in the midst that wasn't a function of poor performance by our operational side thing, as I’ve said, our teams performed incredibly well over the last year by any standard, let alone one that was impacted most severely by COVID. Working within a long-term planning framework, of no doubt that the SGM team can deliver our vision for Sukari. And by continued building on our knowledge of the geological framework at Sukari, which will improve our models and support our more confident long-term planning. As a result of this, we've already identified a number of new exploration opportunities to grow our resource base beyond the current life of mine, and we're going to discuss that a little bit later on. In terms of the operations, as I said, I'm looking forward to updating you on a new and improved strategy for the management of the Sukari orebody and this has led to a change in the open pit and underground mine design. And by implementing this approach, that results in a more optimized open pit mining plan, which not only increases and enhances the value of the open pit, but also reduces the operating risk as well. And our optimized open pit, as a result of a long-term mine schedule, which we think is strategic with respect to value, it's practical with respect to the mining shape and the pit stop requirement, and it's achievable with respect to the mining equipment fleet we have and the ore processing capacity.  Away from Egypt, we made some excellent progress in assessing West Africa. That work is close to completion now. And I'm very much looking forward to updating you in the next month, as we continue this work, and we start to map out the next steps as we seek to realize value from our West African portfolio. And speaking of growth, we continue to discuss the bid round with our partners in Egypt. And I hope that we can complete these discussions and get a highly capable team on the ground and into the field to start really exploring that huge potential of the Arabian Nubian Shield in Egypt. Over 2020, our sector benefited from improved commodity prices, better gold prices, lower fuel prices. In addition to this, Centamin continued to realize a number of cost-saving initiatives, which helped to drive strong free cash flows, which underpinned our commitment to dividend pay. This one -- Russ will take you through the detail of this shortly. Back in December, we mapped out our clear reset plans for unlocking the full potential of Sukari. We start 2021 stronger, with a clear vision and a sense of confidence and excitement. We want to rebuild that market confidence in Centamin's delivery, but also the value that sits within the company. And we hope with a clear plan and deliveries results, we'll be able to do just that. As we've all faced the global challenge of COVID, I'm really proud of the way that Centamin and the team responded. It was fast, comprehensive and nimble thinking aligned with the hard work and the commitment above and beyond the normal course of business by our team that allowed us to do this. We navigated the crisis without any material disruptions to our operations, I'm pleased to say. We've also sought to support our local communities and help them navigate COVID, and we've completed a number of initiatives in this regard, both in Egypt and West Africa. On watching how the team responded to COVID further underlines my sense of confidence that I have that we've got the ability and the resolve within Centamin to deliver the company that we believe we can, should be. But COVID is not yet behind us, and we continue to treat this really seriously. We've assumed that COVID could be with us for the foreseeable future. We've adapted our operating processes and procedures accordingly. This allows us to take a constructive and proactive approach to our day-to-day operations, our longer-term planning, and particularly, our capital projects involving third-party contractors. I believe we have a resilient approach to COVID; and to use the old expression, we’re prepared for the worst but we're hoping for the best. In terms of operational safety, it remains a clear and primary focus for management. Everybody who comes to work should get to go home safely. This year's safety record is evidence of continued progress. We had a 41% improvement in the lost time injury frequency rate down to 0.84 million hours worked, and a total recorded injury frequency rate of 5.16 per million hours worked. It's an improvement, but it's not where we need it to be, where we want it to be. And this is going to continue to be an ongoing focus for us as we roll into '21 and beyond. And with that, I'd now like to hand you over to Ross, who is going to take you through our financial performance for 2020 and mark progress against those key initiatives.
Ross Jerrard: Thank you, Martin. It is my pleasure to present our 2020 results. Centamin is a financially robust, highly cash-generative business, committed to responsible mining and balanced stakeholder returns. Our financial strategy remains consistent. And while it was tested this past year with the challenges faced from COVID-19, it demonstrated the strength and resilience of our business. Revenues increased by 27% to $829 million from annual gold sales of 468,000 ounces, down 0.3%, but had an increased average realized gold price of $1,766 per ounce, which was up 27% year-on-year. Underlying EBITDA improved 54% to $439 million at a 53% EBITDA margin, principally driven by higher gold prices, but also lower costs. CapEx was up 42% year-on-year at $138 million and was in line with what we had forecast for the year after deferrals from COVID. Our capital expenditure was predominantly invested in the projects focused on long-term sustainability of the business. Importantly, adjusted free cash flow improved by 91% to $142 million, which is a key driver and component of our dividend policy, resulting in a dividend per share of $0.09 for the year. Please remember that we also had a first interim dividend distribution of $0.06 attributable to 2019, which is a direct replacement of the 2019 bylaw, so our total distributions actually amounted to $173 million or $0.15 per share. Please refer to the financials for further detail. Sometimes it feels quite competitive when we say this, but Centamin continues to maintain a strong balance sheet with cash and liquid assets of $310 million as of 31st of December 2020, after free cash flow generated for the year of $142 million and outflows primarily in the form of dividends. Unique amongst our peers, Centamin has never had debt, hedging or streaming in place. We are, therefore, able to maximize the strength and flexibility of the balance sheet and offer shareholders gold exposure throughout the cycle. Undeniably, our balance sheet is our strength. Dividends are central to our strategy. In December 2020, we expressed our intention to pay a US$0.03 final dividend, and today, we have delivered on that promise. This marks the seventh consecutive year of dividend distribution. To us, this is demonstration of a good, sustainable dividend policy. Centamin's business model is built around the responsible maximization of free cash flow, and our dividend policy is a direct function of that free cash flow generation. The proposed US$0.03 per share or $35 million brings the total dividend attributable to 2020 to US$0.09 per share or $104 million. In other words, US$222 per ounce sold in 2020 is returned to shareholders, which puts Centamin in the top quartile amongst our peers. This is a proposed dividend and is subject to shareholder approval at our AGM on the 11th of May. The 54% EBITDA increase was driven by the record revenue number of $829 million, an increase of $176 million on 2019, driven by an increased average realized price, up 26% year-over-year, but our focus has firmly been on cost containment and managing what's within our control. For those of you who have followed Centamin for some time will know that we went through a multiyear efficiency program to reduce our stock and working capital balances. In 2020, like many companies, it was prudent for us to actively increase our working capital and critical inventories as a precaution to mitigate potential for fire disruptions due to the COVID pandemic. This was successful, and we were able to secure sufficient suppliers and ensure business continuity. And we've had no material disruption. Specifically, we incurred $14 million worth of additional costs in 2020, directly attributable to COVID and we have budgeted a similar number in 2021 as ongoing COVID costs.  The company has undertaken risk analysis scenarios and has put in place contingency plans for the business. I believe we have taken prudent steps to continue to navigate these difficult times, but it is an evolving situation, to which we would rather air on the side of caution. We, therefore, expect to maintain these slightly elevated working capital levels for the foreseeable future. Finally, Sukari operates under cost recovery model with our Egyptian partner, EMRA. We have increased our provision held centrally by US$10 million to cover cost recovery reconciliation items and timing of certain cash flows for settlement of payments before June. Looking a bit more at cost. Centamin delivered cash costs of $719 per ounce produced and all-in sustaining costs of $1,036 per ounce sold, both within our previously revised guidance ranges. The pie chart shows the operating cost breakdown. Mine production costs are down 4% year-on-year, but specifically, processing costs are down. This is a significant portion of our cost structure, and therefore, is a key focus area and opportunity for extraction of costs. We have and will continue to focus on cost reductions and efficiencies across our operations as a driver of cash flow generation. The next 3 years are a period of reinvestment of attaining a higher spend profile has been on the right-hand side. It is critically important that there are contained group costs during this capital reinvestment phase. We must remember that 2020 CapEx spend came in lower-than-anticipated due to some project delays, mainly driven by COVID. This resulted in total capital expenditure of $138 million, down from the $190 million we initially guided prior to the COVID outbreak. These projects have been rolled into 2021, the solar project being the prime example. Regarding our CapEx expenditure through to 2023 is generally flat, albeit at an increased level, and then expect that to fall away after 2023. The non-sustaining spend is split across a handful of key projects. For example, camp upgrades in the TSF 2, which are largely complete this year, and then we have solar, the waste stripping and underground development of the main project through to 2023. This accounts for the step-up in our all-in costs. What you can't see on the graph is 2024, when many of those non-sustaining products -- projects finished were substantially reduced. At Centamin, we focus very seriously on costs, particularly on productivity and efficiency opportunities to save dollars. Sukari is a bulk tonnage operation. For every tonne of material, there is a cost, whether it is waste ore. In December, we outlined a lot of great initiatives and targets to improve operating efficiencies, and there are many, both large and small. There you can see that volume gains. The bars are per tonne operating costs, and the line chart shows our total material moved or ore processed. Showing the results of our focus on cost containment is a long-term view that the unit rates will flatten or reduce over time as indicated on these graphs. The open pit cost per tonne increased as there's a record material mined, and we saw the ramp-up ahead of the contracted waste stripping program. The underground was equally impacted by lower cost tonnes as there was a reduced mining this year due to the infrastructure upgrade. Equally processing unit rates were impacted by a reduction in consumables and reagents, offset by the reduced throughput volume. And there was an increase in the G&A costs, mainly due to the impact of COVID and the additional rosters and rotations, including bonus and cycle allowances that we introduced to ensure we kept the mine operating and largely fully staffed. The G&A cost unit rate uses the processing tonnes as the denominator for the reduction in tonnes of processing, also had an impact on the unit rate. Excellent progress was made throughout the year against our cost savings programs, with $44 million of costs removed from the business. This is gross, i.e. before the unscheduled $14 million COVID costs mentioned previously. There's a long list of cost savings, many of which are small, but in aggregate, they add up across the business.  But here are some examples of some key initiatives. And as you can see, many show initial savings with opportunity for further savings in the future; a new fuel transport agreement is signed, which reduces the transport cost of fuel to $5.5 million per annum; the completion of the new tire workshop, reducing the demand for all new tires to be purchased and increasing tire life; improved the cyanide supply terms, which both to reduce the unit rate but also ensure longer and stronger future supply; and we negotiated in-country agreements to recycle 60-millimeter grinding media, reducing the reliance on imports, but also reducing the cost base, and importantly, increasing local content rather than import. And our inventory management program benefited from stores agreements with long-term suppliers that we are targeting across our broader supply chain.  The $44 million delivered in 2020 is part of a wider cost reduction program, where we have a further $56 million worth of cost savings targeted, bringing a total of $100 million worth of savings by 2024. This year, 2021, we budgeted for $16 million, including, but not limited to, our 6040 loaders, where we have purchased 2 new Cat 6040 excavators as primary production excavation and loading unit to replace the existing 6030 backhoe production unit. With commissioning in the first half, this will lower the hourly operating costs, in the first instance, by reducing by $1 million per annum as a start, but will also mean higher production capacity and better utilization and productivity in the open pit. We can see one of the new 6040 TR arriving on-site and getting commissioned.  On the switchgear, in preparation for the full salable this year, the high-voltage switchgear upgrades have been largely completed. This was a key work stream ensuring the successful integration between solar and the plant commissioning. Commissioning of the solar plant in the first half of 2022 results in an $8 million to $9 million per annum saving at current fuel prices. Lightweight truck trade. We completed the study of lightweight truck trades for the open pit fleet, where the goal was to increase payload averages by 5 trucks by 10%. However, even when payload gains were not achieved, due to material quality or loading inefficiencies and faster traveling speeds were found to also increase truck factors by 10% or more. Other benefits, of course, include less fuel used, improved tire life and less overloading and chassis fit. New studies were successful, and we have now placed the order for another 45 trades, with the plan for the fleet to be fully commissioned by the end of 2021 or early 2022. There is a saving of $2.5 million worth of fuel at current prices even before we factor in a quicker cycle time and increased payloads. In addition to these great budgeted initiatives and as part of the Phase 2 of the life of asset review, we're evaluating opportunities to extract a further $30 million to $40 million. These include programs such as assessing the underground mining contract, process plant optimization opportunities, expatriate reduction programs and dynamic gas blend and our haulage fleet. Once these further potential opportunities become more clear, we will work on them with you and incorporate them in the forecast and update you accordingly. The company continues to exercise a balanced approach to responsibly maximizing cash flow generation, reinvesting for future growth and prioritizing sustainable shareholder returns. Capital allocation continues to be disciplined and closely qualified against value creation. Some key projects include: construction of our second tailing storage facility, which provides the base to extend our tailings capacity to 2030, with our largest capital project this year and was delivered on time and slightly ahead of budget. Commissioning is currently underway, which will dovetail with the closure of TSF 1. Sukari camp upgrade, our ongoing focus of creating a positive work environment for our employees saw significant upgrades to the Sukari camp, including 8 new accommodation blocks, new gym, communal areas and the new football pitch. This build is today 80% complete and remains on track for completion in Q2. As discussed earlier, in 2020, underground tonnage was almost at 50% capacity as the focus was on delivering underground infrastructure upgrades, position the underground for the next stage of growth. These upgrades included improvements in the ventilation system, to improve air quality and operating temperatures of greater depth. COVID-19 did pose a challenge in our original plans to use a third-party contractor. In the end, stage 1 of the upgrades was successfully delivered utilizing our own workforce and now on-site equipment, thereby reducing costs and also resulting in a 70% improvement in air quality. In our solar plant, preparatory works ahead of the main solar project construction progressed well throughout the year, with site earthwork 61% complete and civil engineering works for the high-voltage switchgear station nearly complete. This is a key project and is ongoing with project construction expected to ramp up through 2021, ahead of anticipated commissioning in the first half of 2022. Not only will this reduce operating costs, but importantly, will reduce our reliance on fossil fuels, energy intensity and greenhouse gas emission. New capital tax commencing in 2021 include the main solar construction and increased waste stripping and underground development to increase mining flexibility. This includes the pace of store plant. Investments in technology, people and training are additional critical areas as the company continues to invest to further improve operational performance. In summary, we have a strong balance sheet with $310 million worth of cash and liquids at the end of the year. We are going through an investment phase, and we will be utilizing our balance sheet to finance, but we will maintain our strong balance sheet position. We said at the beginning of the year that we plan to extract $50 million from the business in 2020, and we largely did that with $44 million extracted. We're targeting another $56 million to be extracted going forward. So in total, taking $100 million worth of cost out of the business over the 3 years. These are genuine identified opportunities that are sustainable and will be delivered. We’re disciplined on our capital allocation. Some projects were deferred into 2021 due to COVID restrictions, those that could progress and were delivered on time and on budget, and we'll continue with this discipline and delivery. And this will result in maximizing free cash flow, where we generated $142 million for the year, and that meant we could deliver another year of reliable and consistent shareholder returns. Lastly, and not least, we want to reassure our commitment to shareholders and reflecting our confidence in our new approach, reset plans the Centamin Board reconfirmed its intention to distribute a minimum payoff of $105 million for 2021. And with that, I'll hand back to Martin.
Martin Horgan: Thanks very much, Ross. Really comprehensive overview there of the numbers and obviously, some fantastic initiatives around cost savings. And again, discipline, as we've talked to before as well. So thank you for that, Ross. Back in December at the Capital Markets Day, just to recap on that, we talked about a number of things. We talked about people and processes. We talked about rigor and discipline in our planning. We talked about improved flexibility and reliability in our production, and we talked about a focus on cash flow generation over headline ounces. I'd like to take on the next sort of step on that journey, and I'll take this opportunity to introduce you to our -- what we're calling our new orebody stewardship model at Sukari. In practice, what does that mean? It means we're fully going -- we're going to fully explore the concession area, with the aim of identifying all potential resources. And then we're going to seek to maximize the extraction of any economic ounces that we find. In terms of geology, we've been refreshing our whole approach to exploration and orebody management under the leadership of our strengthened geological team. The concession wide exploration effort has been reinvigorated, and we've refocused efforts around the orebody. Both initiatives are all improving successful in identifying new opportunities for growth, which I'll discuss a little bit later on. As for our mining operations, delighted to say we've had an update on the geotechnical input that we need to use for our long-term planning in the open pit. And I'm pleased that they've been complementary with only a minor relaxation in the overall pit slopes in the East and the West walls and actually an ability to steep in both the North and the South walls as well. So that's fantastic news for us. More importantly, we've also reassessed the approach to the open pit. And we've been able to redesign the pit to produce more cash flow while simultaneously reducing operating risk. In the underground, this revised philosophy as seen as moved to employing an economic cut off strategy which will focus on the maximization of ore extraction. And these changes really start to deliver into our vision of Sukari of that 452,000 ounce producer on an annualized basis, with a targeted all-in sustaining cost of $900 per ounce. So our new approach to the open pit design achieved not only an increase in cash flows of the life of mine, but it simultaneously reduces the operating risk, kind of holy rail of more money, less problems, which we're very pleased about. A few things to note in respect to this update as well. It does actually represent 18 months of mining depletion. We've moved Sukari from a June to December reporting date. Therefore, the depletion associated with this change is just under 1 million ounces of production. We've used the updated geotechnical inputs as part of the planning process, and the cost control that Ross mentioned earlier, they've been incorporated into the budgeted savings and planned productivity efficiencies that we hope to get as well. So in essence, we've taken the decision to redesign the open pit at the Northeast end of the operation and to exclude some deeper lying medium grade material, which is at about 0.8 a gram per tonne. This material is a strip ratio of about 10:1, and would represent just under about $0.5 billion of waste mining costs alone. And this marginal material will set to be mined at the end of the operating life, which will be effectively next decade, but the associated stripping that comes with it would be starting in the near term. And this change has basically had the impact of driving better cash flows through the production of that overall waste stripping cost, which actually more than sets off the resulting reduction in revenues from the mine -- the decision not to mine the gold. I think it's important to note as well that the gold hasn't been sterilized. That gold is still available to us, and we do believe there's an opportunity to bring these ounces back into the plan and future work supports that. With pit wall reduced in height, and reduced interaction with historical underground mining infrastructure, we believe this plan has lower implementation risk when compared to the previous version. It's got further benefits regarding the millfield schedule, with lock stockpile material now substantively moved to the end of the operating line. We're going to continue to refine and optimize the schedule of the balance this year, but the change in design really starts to underpin and deliver into our vision of Sukari as that consistent 450,000 to 500,000 ounce per annum producer for the balance of its operating life. And I also believe that there's excellent potential to further grow the resource and reserve base at Sukari. I think we've all been aware of the potential resource growth in the underground. But more recently, what we started to identify is the areas in the open pit we also believe have got great potential for growth. I mentioned those the ability to bring in the deep lying ounces to the Northeast of the pit back into the plan in due course. And we're going to work on that over this year and next year to assess their oxide geological potential and ability to potentially convert some of the associated waste to ore with different zones and mineralization there and a further optimized operating cost. In the Western zone of the pit, we've historically seen the mining operation outperform the ore predicted from our resource models. Put simply, we've got more gold than we plan for in certain areas of the pit. And when we're assessing the reasons for this, we believe that drill spacing is one of the main drivers for this. In order to address this, we're implementing a 20-kilometer infill campaign targeting the Western areas of Stage 5 and 6 pits, and this has a good potential to potentially convert waste to ore inside the design pit. And it's a similar situation that the clear path is one of the open pit. And while it represents a relatively low strip, but medium grade mining zone at this time, again, is underpinned by a relative lack of drilling data due to the topography in this area. With that opening up now, we've got an infill tool campaign, which is starting shortly and has the potential to improve the ore profile in this area of the pit. As I said before, with both of these areas already inside the pit design, the ability to convert some of the existing planned waste to ore is absolutely excellent to pit economics. In terms of the underground, we're applying that same philosophy as the open pit, and that's maximizing economic ore extraction to generate best cash flows. In practice, this means that we sort of design underground using an economic cut off of 1.6 grams per tonne of gold, whereas we've previously used a 3-gram cut-off. It means designing stopes that mirror actual underground practices. It means tonnage per dilution as part of the design and estimation process. And it means using backfill to ensure that we can maximize extraction, we can preserve the grade as best we can and give us better ground control. Again, we believe this approach is helping to drive improved cash flows while reducing operating risk. As I mentioned before, the underground has long demonstrated and delivered into its resource growth potential. The orebody remains open to depth in a long strike, and we believe the whole risk zone represents the long-term future of the underground at this time. Building over 2021 continues to support this with some really encouraging drill results -- achieved -- sorry, I'll start again, really encouraging drill results achieved to support this thesis. While Horus is the future, it's going to take us some time and cost, both to drill off this area and then develop the underground infrastructure to start mining from here during the middle of the decade. As you'll note from the drill intercepts on the right-hand side of the page, Horus zone continues to drive encouragement that underpins our long-term confidence with some good widths and grades demonstrating the potential of this part of the underground. As part of our new approach, we've also been looking at near term potential. I'm really pleased that we started to identify a number of opportunities that are significantly closer to the current mining infrastructure. We've done a reappraisal of the geology in and around the existing Ptah and Bast zones and that's starting to yield some excellent results in a really short space of time. We're starting to see some significant widths and grades have been intersected over the first month of 2021, that really start to demonstrate the potential here. For example, in Ptah 40 meters at 8.29 grams per tonne, which includes 11 meters at 15, 20 meters at 5.3. Over at Bast, 3 meters at 24, 3 meters at 19 and 6 meters at 5.3. All fantastic drill intercepts, but just to underpin the potential of these areas. These areas are converted to reserves. And given their proximity to the current infrastructure, we believe that these ounces can be brought into the mine plan in the short-term and at relatively low development costs. And that's going to give us the benefit of increasing mining flexibility, which will, in, turn support our target more predictable, sustainable production. And on a final note, I think it's important to understand that as we move forward in terms of our underground exploration potential, our team and I are now rolling out what we're terming an extensional model of exploration rather than a depletion replacement model. And again, put simply, that means that each year, we'll be trying to add more ounces to the underground resources than we deplete on an ongoing annualized basis.  As highlighted back in December, we've also commenced the surface exploration program to make sure that we fully explored the concession areas’ potential. Initial work is focused on target generation to date and field workers included mapping and structural analysis, grab samples and channel sampling of mineralized exposures. The aim is to generate a number of drill targets, which can then be systematically tested during the second half of this year. Early results are encouraging. A number of new targets that are demonstrating both scale and grades that are good for mining targets have been identified. We're finding straight lengths in excess of the kilometer and width of several hundred meters wide and grab and channel sampling indicating grades consistent with open pit mining targets elsewhere in the concession. We continue to progress our efforts to get an airborne survey completed, and we hope to have this approved later in the year to coincide with the cooler temperatures. I'm really pleased with the results emerging from the entire exploration campaign in both the orebody and across the wider concession. I'm really looking forward to updating you over the balance of 2021 with news that the results continue to come in and support our vision to grow Sukari beyond its current 12-year life. Now speaking of growth, Ross and I were in Cairo last month, and we continue to engage with the government in respect of the bid brand. We remain hopeful that we can include negotiation in short order and we're ready to commence work on this exciting opportunity. Our review of West Africa is close to completion. By the end of this month, we've completed our technical, environmental and social, plus legal review. And in April, I'll be making several recommendations to the Board on how we take these projects forward to start creating value for Centamin. As I said before, resources are fine, but we want to demonstrate route to reserves and reserves of the quality that commensurate of company and Centamin's quality and scale. I'm very much looking forward to updating you about these projects and our plans in more detail in the next quarter. I think these are exciting times in West Africa. When I think about Centamin, I think back to the reasons why I joined the company. It really is a fantastic platform to build a larger, multi-asset gold company from. We've got a world-class asset in Sukari, one that we believe can get bigger and better. We've got a fantastic team, with the support of a strong and excellent Board. We've got a fantastic balance sheet with no debt or hedging. We've got a great record of stakeholder returns over the last 7 years. We've got some fantastic, really interesting growth opportunities that are starting to emerge that we can realize, and we've got a clear strategy to deliver our vision of being that multi-asset gold producer. Coming on to my first anniversary, I’d say I'm pleased with the progress we've made. I'm really optimistic about the future and the opportunities that lie ahead of us. I think we're really, really well positioned. I'm very much looking forward to 2021. I've got a sense of optimism, enthusiasm and confidence, and I'm really looking forward to updating on a number of key catalysts over the balance of the year that are really going to unlock and deliver that full potential of Centamin. And with that, I'd like to hand you back to Ruby, our operator, and we'll take the questions for Q&A. Thank you.
Operator: [Operator Instructions]. Our first question is from Alan Spence of Jefferies.
Alan Spence: I've got a few. I'll just take them one at a time. So the first one, we're basically through March. Can you give us a bit of an update on Q1 production, maybe a range of where you see that ultimately shaking out? And then kind of how you think about the balance of production first half versus second half?
Martin Horgan: Sure. Thanks, Alan. Look, I think, obviously, 2.5, nearly 3 months in. Look, I think the guys are getting on with it. It's a good steady start to the year. So I think in line with our -- where we are going forward. I think there any surprises or shocks coming through, which I'm delighted to say. Good progress. Capital are on site. They started to move dirt as part of that waste stripping contract. That's great to see. As Ross touched on, a number of the projects are moving forward as well. And I think there's additional opportunity we identified coming through there. So I think in terms of how we see the start to the year, very pleased with a very strong start to the year in terms of sort of operational performance, tonnes being moved sort of on compliance with plan, both in terms of tonnes and grade, but also volumetric compliance to make sure we focus on that stripping as a key focus for long-term stability that we're looking to achieve those as well. So I think an excellent start to the year, with first quarter in. So obviously, we look forward to updating you in April on what I hope will be a very boring discussion, where we say we've done what we said we're going to do and then roll on to the second quarter to repeat again the balance of that. I think in terms of the year, I think it's really balanced between first and second half of the year in terms of production profile. And then obviously, we'll look forward to update you in subsequent quarters.
Alan Spence: Okay. Can I try to push you a little bit to give me a range of actual numbers for Q1 production maybe?
Martin Horgan: Look, I think, obviously, we said our target for the year was 400 to 430. And within that range, I would say that we are continuing to track along -- to be on target. It's only the first quarter in, so 3 quarters ahead of us. So I would say, at this stage, Alan, that we are in line to stay on guidance at this stage.
Alan Spence: Okay. One for Ross. That $46 million to $56 million of cost savings in the next 3 years, can that be achieved while we're kind of operating in this COVID world?
Ross Jerrard: Hi, Alan. Yes, absolutely. All these sort of projects we believe are achievable and pulling them through. So I actually think there's more to come. I think as we've gone into it, I mean, there's a raft of opportunities that, in aggregate, add up very quickly. And I think there's quite first all-round there. But absolutely, everything that we've got on the list and we actually think are very achievable.
Martin Horgan: I think Ross, just add to that point. Sorry, Alan, just to add to that point as well. We talked in December about that. And I was always the skeptical. I've been a consultant in the banker of previous life, and management teams to talk about cost savings. And when you try to needle them about where are they going to come from, they would just say, we'll just deliver them. But I think the thing that I take comfort in Ross is that behind those numbers, as you say, there's a number of identified initiatives that we believe can be brought in as well as the other ones as well. So I think that's right, Ross. I think these are opportunities irrespective of kind of the COVID environment to be able to bring in there. Sorry, Alan, I kind of crossed you, apologies.
Alan Spence: No, that's fine. And I just wanted to make sure I was understanding this slide correctly, but you highlighted the $44 million achieved so far, but only $16 million of which are included in forecast. Is that just being overly conservative? Or is there a particular reason not to embed that in the guidance?
Ross Jerrard: Those are the ones that we had actually locked up and we were certain, so we had actually committed the capital to in order for them -- for those to drop. The other ones are being investigated. And then we would -- once we've committed to the capital and unfolded then, they would flow through. The truck trades we had already included. We had budgeted. We spent the money on ordering the trades, for instance, first. They're already factored in the numbers.
Martin Horgan: But just to be clear, Alan, the $44 million that's identified, that's in there is a further $16 million layer on top of that that's come in. So actually, the full amount is $16 million is taken out the cost base. In terms of the numbers of views of the planning, for example, it reflects the $44 million that we've achieved, the $16 million that on top of that, that we've identified, and there's still the balance to come on top of that from there as well. That's right, Ross?
Ross Jerrard: That's great. Yes.
Alan Spence: Okay. Yes. Thanks for clarifying, that makes more sense. And then just the last one for me, just around this exploration strategy update in Q3, do you expect you might be able to say anything about the EMRA bid rounds end? Or is it probably that's going to be focused on the Sukari tenement?
Martin Horgan: I would hope we can by then, in Q3 we'll be able to talk about that, look, absolutely. Look, I think that Q3 update, obviously, we're hoping there'll be quite a bit of actual sort of tangible results to discuss. And I think the other thing that would be good for everybody is to actually get a chance to hear from the revised geological team have a chance to sort of have an interaction with those guys and have them present their sort of their findings. The sort of what that informs a view forward and the next steps as well. So I think there'll be quite a bit to talk to around Sukari, concession wide and from the orebody. I'm hoping sincerely by them, we're actually live on the ground in terms of the bid round. And at that point as well we’re also looking at West Africa. So we kind of hope to treat it is a fairly comprehensive review of that with full exploration, but I think it will sort of stretch across the geology and give you guys a bit of insight from the new geological team as well. So I think it will be quite an interesting session.
Operator: [Operator Instructions] Our next question is from Tim Huff of Peel Hunt.
Timothy Huff: Just 2 questions really. I guess the first, just regarding the shape of the new pit shell and the open pit. That Slide 19 that you put up is pretty impactful when you look at it because obviously, this morning, there was a little bit of concern on removing the ore from the reserve. But actually, longer term, I mean, the amount of pre-strip that you guys will save on is pretty tremendous. I was just wondering, coming back to your question regarding, obviously, the ore still being there, it hasn't been sterilized, if there's any sort of early thoughts as to which way you lean in terms of when you eventually get there to the bottom of that new pit shell? Whether you're thinking it's more likely it gets accessed by decline or maybe from the underground?
Martin Horgan: Yes. Look, I think that it's a really good question. Look, I think the reality is that, that deeper line material that we've decided to basically not pursue in the current mine plan, I think there's a number of ways that, that could come back in. So we could drill off that material and that 0.8 sort of 0.9 gram sort of target grade could improve better drilling density. We might pick up some more high-grade structures in the area. All of a sudden, that becomes a 1, 1.1 type, 1.2 type target. I think that obviously has the potential to sort of pick up sort of its sort of economic attractiveness. We understand that in terms of the waste on that Northeast side, that's sort of 300 million tonnes that we don't strip. We understand that there's potential there. We've seen the elsewhere in the pit for sort of lower grade, if you like, hanging more structures to sit there. They might be sitting at 0.5 of a gram. And even if they're not sort of massively remunerative in terms of sort of revenue is that if they effectively become a -- it means it's a self mining waste block, so that the revenue we get from it covers just the cost as well, we might bring that strip ratio down. And as Ross has touched on, I think there's good opportunity there for further cost savings as well.  So when I look at that sort of northeast corner of the pit there, those ounces, I think there's a lot of work we're going to do over the next 18 months that we can start to see in there. And it may be that with that revised work better grades at depth that we're able to identify more drilling. The strip ratio changes by converting some waste to ore and the further sort of refinement to the cost base, maybe they come back in. So I think, to my mind, the prudent approach right now is to basically exclude them. But I think it's not to say that they've gone. I do think, as you say, then the next sort of leg, if we do that work, and we're still not comfortable to make that investment to really push down for those marginal ounces at the back end of the mine life is that absolutely, of course, with the silt in place, we can go back into that area potentially if you identified some more high-grade areas and structures to go back and look at taking those from the underground as well. So we've got a couple of options available to us about how we do that. Open pit clearly considerably cheaper to mine ounces via the open pit. Of course, we can take more of the outage out because of the lower cut-off grade in the open pit. But if we can't make it work from an open pit perspective, then absolutely, we've got that sort of second ability to go back in an underground basis as well.
Timothy Huff: Okay. That's really helpful. And good to hear that you're even going to be working on that over the next 18 months. So that's helpful. The second question was pretty boring one, more numbers-oriented than anything else is just regarding that $10 million provision that you made towards year-end on a cost recovery basis. Ross had mentioned that there were specific items. I didn't know if you could give us any more color on what were the specific items that the provision was focused on?
Ross Jerrard: Yes.
Martin Horgan: Well, I'll let you take this one, Ross.
Ross Jerrard: Tim, in terms of the cost recovery analysis, there's a few sub areas that have been opened. So we've been closing off those areas. So it's just truing up the various cost classifications. And we basically closed off or agreed on certain items in terms of what is financed and what gets recovered in those areas. So basically, we've made a provision to close off some legacy items that have gone through the cost recovery model. And part of that 10 million that will get unwound over the next sort of 2 to 3 years as we finance certain amounts to come back, typical thing is that the backwards and forwards and what is treated as capital and what is treated as OpEx within that cost recovery model and who finances what that's either. It's numbers that should either be claimed in the year, incurred or spread over a 3-year period. So a lot of that has to do with timing differences more than anything else.
Timothy Huff : Okay. No, that's helpful.
Ross Jerrard: And clearing of some of the old legacy open periods that had closed off.
Operator: Thank you. We have no further telephone questions. So I will hand over to Alex for webcast questions.
Alexandra Carse: Thank you. I'll give this one to you, Martin. Would you buy and provide COVID vaccines to your employees?
Martin Horgan: That's a very good question. Look, I think what we have to recognize is a number of things. Is that individual host jurisdictions of where we operate, governments have different policies, different procedures they look to do. And obviously, paramount for us is that we obviously operate in compliance with local jurisdictional requirements. So we're not going to do anything that would sort of cause us to fall foul of any local regs. I think secondly then, the next thing is around so the perception of queue jumping. I think it is sort of vulnerable groups, more aged groups that require sort of vaccination first. I think there would be quite a challenging moral argument to say why we would jump ahead of those groups to sort of prioritize ourselves as well. So I think on a personal basis, obviously, hasn't been discussed at a Board-level is that, first and foremost, ensure that we work in compliance with local regulations in our host jurisdictions. And secondly, from a moral perspective, it's obviously recognizing sort of the rollout sort of to at-risk groups and vulnerable groups ahead of sort of healthier population, is a key part of the vaccine program. Certainly that we've seen here in the UK as well. So I think I'd be quite nervous around sort of being perceived to sort of jump queues to get ahead. I don't think that would be a particularly sort of the smart thing to do on a long-term basis.
Alexandra Carse: Okay. And just a question around the new pit design. When do the benefits from the new pit shell impact stripping? And is that deferring 2021 volumes? Or does that save 2025 to 2030 volume?
Martin Horgan: Yes. I think if you think about the sequencing of when we would sort of start the final cutback to go to the ultimate pit shell, is that that's really going to start coming through, I would say, sort of '23, '24. And as I touched on one of the earlier comments there, I think we've got about 18 months to really investigate this deeper material and work out whether we do want to bring it back into the schedule or not. I think we can make it work. And I think sort of into '24, '25 is when we're going to have to make that decision of where we set that ultimate pit limit. So we've got a little bit of time to do that work and make the decision. And as you say, if we decide to go for it, stripping would commence sort of relatively '24, '25 over the decade. If we decide not to go for it, then obviously, that material won't be mined in that period, and we'll stick with a slightly smaller shell as well. So it does give us a period now to complete this work before we have to start making decisions. We can always go back and do a cutback and push back the all if we decide to go through it later, but book far better would be to set your final pit limits and then mine that in proper orderly sequence on that long-term basis as well. So yes, we'll work on this through '21, '22. Make some decisions in '23, '24 about sort of setting the ultimate pit limit to start that stripping.
Alexandra Carse: Thank you. Question back in -- back on Egypt. What is your perception of the risk that the Egyptian Government could renegotiate higher royalties or taxes given Egypt's fiscal situation?
Martin Horgan: So interestingly, Ross and I, as I mentioned before, were in Cairo last month. We went down there for meetings with the Minister of Petroleum and EMRA, our JV partner, in effect. And actually while we were there, we also had the opportunity and meetings arranged. We met the Prime Minister, Minister of Finance and the Deputy Governor of the Bank of Egypt as well. So we had a really good meeting at the cabinet office. And one of the statements that the Prime Minister made unprompted from Ross and I was that the current government is looking not to challenge existing commercial relationships in any sector, mining, oil and gas, whatever it might be. And in fact, they are very keen to see contracts onwards with no variation of terms from that going forward as well. So it’s a really interesting comment that the Prime Minister himself made to us. So I would take a lot -- I personally -- Ross and I felt a lot of comfort from hearing that as being stated, aimed. The government is very aware of attempting to attract new foreign direct investment into the mining sector. It's keen to sort of demonstrate stability and the operating environment can work in. And I think they're very aware of sort of varying existing contracts is not a good thing as well. So I think it's always a risk. Government's change, people change. But at this stage, I think where we are, what we heard at the meeting, direct from the Prime Minister in Cairo on back in February, was that that's not something that they really believe is in the best interest of Egypt at this stage.
Alexandra Carse: Thank you. And another question, can you please remind us of the carrying value of the West African portfolio?
Martin Horgan: I'm going to have to pass to Ross, do you have a specific number?
Ross Jerrard: Yes. So the carrying value, the accounting carrying value is $34 million, that's just on the balance sheet. That is the residual acquisition price that was carried on when Ampella was purchased.
Alexandra Carse: Thank you.
Ross Jerrard: That's the book value that we have on the exploration.
Alexandra Carse: No, sorry, sorry, for coming you off. And it's another one for you, Ross, actually. Is it possible to discuss the change in receivables and payables? Is this a one-off benefit that will reverse? Or is this something that we should consider going forward?
Ross Jerrard: The key changes there are the timing of our gold sales shipments. And as I refer to the financial statements, it's really the timing of various receivables and payables with the gold sales in particular for compliance. And the bullions was actually held in the face. So you'll see last year, there was abnormally high, I think we had 17,000 ounces that was held, and this period ended this score. So it's really again just timing.
Alexandra Carse: And one last question that just snuck in. And actually, next is a nice teaser for the West Africa review will be making next month, but which of your exploration assets gives you the most optionality?
Ross Jerrard: Someone attempting to view what the next information out there, I think, at this stage. So it's not to front run any of the exciting news down the track. Look, I think that when we look at the projects, is that first sort of first gating test is can we see a potential for a project to reminder? Can we see these resources convert to reserve? And I think that's the first thing. And we sort of take a step back a few of the people that work -- that I worked with previously, we've had some pretty good success in taking exploration projects into production in West Africa. And that same team was effectively -- we're running the rule over sort of the Batie West, Doropo and ABC. So I think we're looking at that very much is how do we take these projects forward. I think once you understand that, the next question then becomes, can you identify a Centamin scale project? Is it that sort of 8-year minimum life? Can we see 150,000 ounces to 175,000 ounces of annualized production? Can we see industry standard sort of processing techniques? Have we got a project that's robust? And is a commensurate scale for a company of our scale, quite frankly? And then the final thing, of course, then is that is in the jurisdiction where we believe that we can actually then roll that forward and put that into production with a center confidence as well.  So that's, if you like, the kind of the gating process we're going through. That is substantially done now across all 3 of those projects. And I think that sort of when we look at sort of scale and potential country, long-term country view as well. As I said before, I'm quite excited about sort of what is emerging from that and the potential that we can identify to roll some of those projects to that next stage as well. So I'm going to stop short there before I sort of say too much more. Obviously, we've got to present to the Board our findings, agree a route map there and then very much looking forward to sort of getting that information out. But it's been a good process. And I think, yes, that's a conversation looking forward to having.
Alexandra Carse: Great. Well, I've just been informed that there is actually one more question on the telephone line. So I'm just going to hand back to Ruby, the operator, to open that line.
Operator: Thank you, Alex. Our final question is a follow-up from Alan Spence of Jefferies.
Alan Spence: A bit of a follow-up question from what Tim was asking about. You mentioned some of the ways some of that material could come back into the mine plan. But what if ultimately, that doesn't materially change? What's the gold price where that waste stripping is breakeven to the additional revenue from those ounces?
Martin Horgan: It would work at today's prices. So if you could give me today's price, 2032, 2033, between now and then, Alan, if you could underwrite that for me then, then I think that would be fine. So it's not 1 million miles away from where we are. But when we look at long-term sort of prices, prudent sort of planning, long-term pit shell sort of planning as well, on a 10-year-plus basis, we've got to have an inherent level of, if you like, say, conservatism, but sort of prudent planning around that. And I think when I look at that, I don't strictly think of a gold price that's going to make it work. I do think it's going to be a contributory factors of improved grade in that area if we can drill that off and prove that up. I think of some of that waste changing, as I said, is the operating cost base coming down as well. So I think it's going to be a number of different factors that will -- if we can bring that in there, they're all going to play a contributory part. I don't just see it being a simple gold price gets to this. We're comfortable for the long-term, we bring them in. So those ounces at today's spot, yes, I think we'd probably go for it. But I think sort of the longer-term prices we're looking at, but I think it's at that stage, it doesn't make the hurdle rate. And I think prudent to say we drop them out, improve the cash flows and reduce our risk.
Operator: We have no further questions, so I'll hand back to our host.
Martin Horgan: Thank you very much. Well, thank you, everybody, for taking the time to listen in and for the questions. Hopefully, you found that interesting. Any further questions, comments to carry upon, feel free to contact us. I'm available. And obviously, Alex, on the call as well. So happy to do that. Look, as I said, look, I think 2020 year -- 2020 was a pivotal year for Centamin. Lots of work done, lots of sort of effort put in to deliver that vision of where we see the company going. And I think I'm genuinely sort of looking forward to 2021 and beyond to be able to deliver some of that upside news for you. I think we've got a clear plan in place. I think we've got the right people to deliver that plan. We've got some really good momentum now going with us, both at Sukari and across West Africa, and I really look forward to updating you in the future on our future endeavors and delivering some more good news as we roll into '21 and beyond. So thank you again to everybody. Please stay safe, and these are slightly strange, challenging uncertain times and look forward to talking to you all again in a not too distance. Thanks very much.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.